Operator: Thank you for standing by. This is the conference operator. Welcome to the ECN Capital Fourth Quarter 2024 Results Conference Call. As a reminder, all participants are in a listen-only mode and the conference is being recorded. [Operator Instructions]. I would now like to turn the meeting over to Katherine Moradiellos, VP of Finance and Investor Relations. Please go ahead, Katherine.
Katherine Moradiellos: Thank you, Jen. Good afternoon, everyone, and thank you all for joining us today. On the call, we have Steven Hudson, our Chief Executive Officer; Jackie Weber, Chief Financial Officer of ECN; Lance Hull, President of Triad Financial; Matt Heidelberg, Chief Operating Officer of Triad Financial; James Barry, Chief Financial Officer of Triad Financial; Mike Opdahl, President of Source One; and Sarah Reynolds, VP of Finance for our RV and Marine segment. A news release summarizing these results was issued this afternoon and the audited financial statements and MD&A for the full year and three-months period ended December 31, 2024 have been filed with SEDAR+. These documents are available on our website at www.ecncapitalcorp.com. Presentation slides to be referenced during the call are accessible in the webcast as well as in PDF format under the Presentations section of the company's website. Before we begin, I want to remind our listeners that some of the information we are sharing with you today includes forward-looking statements. These statements are based on assumptions that are subject to significant risks and uncertainties. I will refer you to the cautionary statements section of the MD&A for a description of such risks, uncertainties and assumptions. Although management believes that the expectations reflected in these statements are reasonable, we can obviously give no assurance that the expectations of any forward-looking statements will prove to be correct. You should note that the company's earnings release, financial statements, MD&A and today's call include references to non-IFRS measures, which we believe help to present the company and its operations in ways that are useful to investors. A reconciliation of these non-IFRS measures to IFRS measures can be found in our MD&A. All figures are presented in U.S. dollars unless explicitly noted. With these introductory remarks, I will now turn the call over to Steve Hudson, CEO.
Steven Hudson: Thanks, Katherine. Good afternoon. We are reporting $0.02 of shares -- $0.02 of earnings per share. This is impacted by two temporary items that are now reversing. The first item is the impact of unprecedented temporary severe hurricane as a sidebar, the third worst hurricane history -- in U.S. history, which deferred $50 million to $75 million of Triad's originations into the first half of 2025. And the second is we deferred $75 million of RVM asset sales into the first quarter into a new flow vehicle. I'd also like to report, and Jackie will provide more detail in a moment, a significant deleveraging of our balance sheet with a $325 million reduction. I would like to highlight three items in Manufactured Housing. The first is the fourth quarter operating income of $17.2 million, which is $16.8 million higher than the preceding quarter in '23. Champion -- financing our JV with Champion Homes is ahead of plan for '24. The JV is performing well in both its retail and commercial lending platforms. And third, we are overfunded for fiscal year '25. With respect to RV & Marine, two items I'd like to highlight. The first is originations of $199 million, up 54% year-over-year as well as the creation of a securitization vehicle for Source One, which provides funding on a flow-like basis and profitability in 2025. Lance?
Lance Hull: Thank you, Steve. If you'll move over to Slide 8, I'll run through some information here. First Triad's adjusted operating income for the quarter was up $16.8 million year-over-year, and our origination revenue margin was within guidance at 5.7%. Our EBITDA margin was also up significantly year-over-year, reflecting the ongoing improvements from our operational efficiencies. We continue to grow our servicing and commercial lending businesses as well with those now accounting for 39% of our revenues for the quarter. And looking forward, due to our progress in expanding relationships with our various funding partners, we are now in an overfunded position for 2025. Moving over to Slide 9. Throughout 2024, Chattel originations became a larger and larger portion of our business with Q4 year-over-year at 81%. While in Q4, we did see a 13.6% increase in Chattel originations year-over-year, total originations came in slightly behind for the quarter. And as Steve mentioned, this was driven by the unprecedented severe weather disruptions in the South that Steve mentioned. We are encouraged, however, as we're seeing a strong rebound in Q1 with applications and approval that puts us ahead of plan for the quarter. On Slide 10, as I mentioned on the previous slide, momentum for our high-margin Chattel is strong. The growth in applications and approvals that we saw in Q4 continues, and as I mentioned previously, puts us ahead of target in the current quarter. That gives us a high degree of confidence in our plan for 2025. We are also enhancing our community programs that we feel -- that we are confident will help drive growth in the months ahead. Over to Slide 11, please. And in the 18 months since I joined Triad, we made significant investments to strengthen our team and strengthen the technology that supports our operations. As a result of these initiatives, we've been able to execute with much faster decision and processing times that have resulted in improvements to our look-to-book or capture ratios as well as our customer service and dealer penetration. In addition to these customer-centric focused solutions, our expanded funding relationships and ongoing performance have resulted in greater flexibility in our product funding mix. This has allowed us to better meet market demands with added capacity for the varied credit profiles of today's homebuyers. And regarding the tech and system enhancements I mentioned, I'll highlight two of the most significant related upgrades. First, updates to our loan origination system, Encompass, are helping take full advantage of the platform and streamline origination activities. And second, our custom dealer portal, Triad Connect, was launched in Q4. To date, we have activated more than 150 of our partnering dealers and continue toward activation of all of our retail and community accounts. And with that, I'm going to take you through a few slides to take a look at this portal. So as you log in, each person will have an individual login. This happens to be mine. And of course, most retailers are only going to be able to see what's involved in their stores. So we'll log in now as if -- we were one of our captive retail stores, in this case regional enterprises. And you'll see you'll get a list of all of the applications that are currently in process with this retailer. Now they have a couple of views. They can either look at the application and decide to go into one of them. And from this point, they can see the status on the application. They can see what conditions remain. And this -- right through the portal, they can go and upload conditions to satisfy what were needed. They simply drag and drop, hit upload and it goes straight to the loan file. They can also take a look at all loans that are in process and look at their general workflow on what's needed, showing conditions by stage for each one. So in this case, if we take the top loan and look at the outstanding credit condition, we need a copy of the Social Security card. And again, they can drag and drop and upload to the loan file. And then lastly, they have an opportunity if they want to submit a new application, they can do so through the portal, simply select their store, put in the customer's name and social security number and hit upload. And again, that comes straight to our origination system. We'll continue to update and add functionality to Triad Connect as we gain excuse me -- more user feedback in this product release. We're excited about the continuous improvement to our processing and cycle times that this initiative is bringing to Triad, to our customers, to our partner retailers and community operators, our loan brokers and all who interact with our platform. And now I'll turn it over to Matt Heidelberg.
Matthew Heidelberg: Thank you, Lance. Starting on Slide 13. We're happy to report that credit performance remains strong. As seen in the graph on the top right, delinquencies are seasonally higher in the fourth quarter, but within expectations. The bottom graphs show that our managed assets continue to grow and charge-offs remain low. On Slide 14, our commercial balances are flat quarter-over-quarter, but up 17% year-over-year. Dealers typically wait to rebuild inventory until the first quarter, and that's what we're seeing today. Year-to-date 2025, commercial balances are up approximately $20 million, positioning ourselves very well for the year ahead. Taking you to Slide 15. The Champion Financing floorplan balance continues to build, which is helping to drive loan volume that benefits both the joint venture and our growing list of funding partners. We're very happy with the progress we've made over the past year and look forward to a continued partnership with Champion Homes as we look ahead. Moving to Slide 16. This table summarizes originations by quarter and year, which I'll leave with you, and I will be handing it over to James.
James Barry: Thank you, Matt. Slide 17 features examples of the Manufactured Housing Triad Financial today. We believe Manufactured Housing will play a crucial role in addressing the nation's housing affordability challenges, which stem from a significant imbalance between the supply and demand of housing. It is estimated the current U.S. housing stock deficit is 3.2 million units. Manufactured Housing continues to be an attractive alternative to site-built homes with roughly 70% smaller loan size. We also see new demographics, Millennials and Gen Z gravitating to Manufactured Housing based on recent survey data. This is a significant shift in sentiment in what is a larger and important demographic. These tailwinds support the industry generally, Triad's 2025 loan production target specifically. Turning to Slide 18. Triad is reiterating its full year 2025 guidance shared in Q3. Key highlights include $1.7 billion to $1.9 billion of originations in 2025, inclusive of Champion Finance JV activity, this represents year-over-year growth of 37% at the midpoint. We expect a blended origination revenue yield of 6.5%, driven by higher-margin chattel loan production. Origination revenue is expected to comprise 55% of total revenue with the balance driven by growth in managed balances from our commercial and servicing businesses to $6.75 billion at the midpoint. Operating expenses include additional overhead and interest expense from our corporate simplification plan of integrating ECN Corporate functions into Triad in 2025. And with that, I will turn it to Steve to review RVM.
Steven Hudson: Thanks, James. On Slide 20, just three highlights. The first is the origination levels, which Mike will speak to a second, but up 54% year-over-year at $199 million, call it, $200 million. Second of all, the creation of a new securitization facility in the bottom of the page for Source One assets, which will increase our flow arrangements and profitability in 2025. And on the bottom of '23, I'd like to highlight is the impact. If you look at Q3, $3.3 million versus $0.1 million this quarter, that's the impact of moving the flow sale from one quarter to the next quarter. Hence, you'll see Q1 of '25 up significantly because we moved the sale from Q4 '24 to Q1 '25. On '21, just highlighting the continued advancements in originations. If you look to the fourth quarter '24, approvals up 36%, originations up 54%. I know Mike Opdahl will speak to his approval pipeline shortly, but a large embedded approval pipeline speaks strongly for a strong 2025. And on Page 22, Hans is traveling on business. So I'm stepping in for Hans, really can't fill his shoes, but I will try. IFG had a great quarter with originations up 45% year-over-year. They had a significant expansion in their marketing team. They hired six incremental sales agents in the latter part of '24, which will drive strong incremental results in '25, focusing on the Northwest and Northeast markets and solidifying key markets such as Florida and Georgia. This incremental team already working hard contributed $25 million in originations in the fourth quarter of '24 and is expected to add at least $75 million in 2025. Excited for IFG's prospects in 2025. Michael?
Michael Opdahl: Thank you, Steve. Good afternoon, everyone. Let's jump to Slide 23. As Steve mentioned, 2024 was a very strong rebound year for our RV Marine businesses with Source One's originations up 45% despite challenging market conditions. We continue to build momentum throughout the year, closing our fourth quarter with approvals up 66% and originations up 79%, the highest growth rate in Source One's history. This momentum is carrying over into 2025. Our January originations were the highest ever, up 65% year-over-year, and February will be our fifth straight record-breaking month. As we enter the Spring selling season with over 125 million approvals in our pipeline, we anticipate a high conversion ratio and a record-breaking first quarter. Now a few comments on operations and ongoing initiatives. We spent the second half of 2024 strengthening our sales team, doubling the size while focusing on new market opportunities. We now reach into 47 states. We continue to focus on maximizing efficiencies within all RV Marine businesses. In the fourth quarter, we completed the initial integration of Source One and IFG's back office, decreasing OpEx while improving operational workflows. We continue to refine our integration with IFG and FX -- FAS System and believe this channel is capable of generating at least $25 million in accretive originations this year. Our auto-decisioning underwriting module has launched, and we are targeting 80% of RV decisions to be automated dramatically reducing turn times. In regards to funding, as Steve mentioned, with our new $175 million securitization facility and being fully funded with our traditional origination partners and forward flow programs, we are very, very well positioned for 2025. Turning to Slide 24. The key takeaway here as the graph on the right illustrates is that coming off of the market challenges of 2023, Source One is successfully executing our take share strategies and significantly outpacing the industry. To put our 2024 gains in context, the anticipated recovery in RV and Marine sales were slow to materialize as a combination of inflationary pressures, high interest rates and election year uncertainty resulted in tepid demand with overall unit sales down in both RV and Marine. However, wholesale shipments have increased for four consecutive quarters, and January RV towable shipments were up almost 28%, and we are confident of the continued recovery as the year progresses. With an approval pipeline double that of 2024, we look forward to building on our momentum in 2025. Now I'd like to introduce Sarah Reynolds, VP of Finance for RV Marine. With over 15 years of experience in public accounting and financial management for publicly listed companies, Sarah joined ECN in August and has been a terrific addition to our team. Sarah?
Sarah Reynolds: Thank you, Mike. Turning to Slide 26. We remain confident in our 2025 guidance for the RV and Marine segment with originations of $1.2 billion to $1.4 billion and end-of-year assets under management of $1.5 billion to $2.5 billion. Our investments in systems, people and more specifically, the sales team, the synergies within the RV Marine segment and the acquisition of Paramount have us well positioned for growth. As such, revenue is expected to be $54 million to $66 million with servicing revenue contributing 42% to 44% of total revenue. The segment continues to implement operational improvements with increased scale driving expanded operating margin. Over to Jackie.
Jacqueline Weber: Thank you, Sarah. Turning to Page 28 for our consolidated operating highlights. Adjusted operating income before tax of $9.2 million, improved from an operating loss before tax of $14.3 million in the prior year quarter, reflecting the turnaround in operations and margin improvement. Adjusted net income to common shareholders was $4.4 million or $0.02 per share compared to the low end of our guidance of $0.05 and compared to a loss of $0.05 in the prior year quarter. Current quarter results were temporarily impacted by weather on origination volume, which is now recovering and to a lesser extent, deferred sales of on-balance sheet assets at our RV and Marine segment. On a full year basis, adjusted net income to common shareholders was $0.09 per share compared to $0.10 at the low end of our guidance range. Turning to Page 29, the Balance Sheet. I'd highlight here that we've reduced total debt by $325 million during the year, and our total ending debt of $576 million was within our guidance range of $500 million to $700 million. The decrease in total debt reflects the continued reduction in our held-for-trading finance assets, which are now back down to 2022 levels at approximately $220 million. Turning to Page 30. Total revenue increased to $55.2 million compared to total adjusted revenue of $40.2 million in the prior year quarter, which reflects margin improvement at Triad and increased volume at RV and Marine as well as growth in servicing of both business segments. Operating expenses decreased on a quarter-over-quarter basis, reflecting reductions at Manufactured Housing and Corporate. Interest income and interest expense each decreased as a result of lower on-balance sheet finance assets in the year. These changes drove the $9.2 million of adjusted operating income compared to a loss of $14.3 million in the prior year. On Page 31, Manufactured Housing operating expenses decreased from the prior year quarter, reflecting their operational efficiencies and RV and Marine operating expenses were up as a result of the acquisition of Paramount as well as our continued investments and initiatives that we expect to drive margin improvement in 2025. Turning to Page 32. We ended the quarter with under $220 million in our on-balance sheet held-for-trading portfolio, which is down from $440 million in Q4 2023. This includes $144 million at Triad and $73 million at RV and Marine. Lastly, on Page 33, we remain confident in 2025, and we are reiterating our 2025 financial forecast of adjusted EPS of $0.19 to $0.25 with finance assets in the range of $400 million to $600 million and total debt of $500 million to $700 million. With that, I'll turn back to Steve.
Steven Hudson: Thanks, Jackie. On Slide 35, a few closing comments. First, our earnings were temporarily impacted by two items that we highlighted earlier. I'm happy looking at the January and February results that they are now reversing. Second, our corporate simplification process is proceeding as planned. I'm reiterating our 2025 guidance provided on the third quarter call. I think safe to assume that our turnaround is now complete in '24, and we're well positioned for substantial growth and profitability in '25. And before I ask for questions, I'd like to do a shout out to my two daughters. First, my daughter, Nicole, who was promoted to a Loan Pods Officer at Triad, which was great to hear. And then my second daughter, Seana [ph], who's about to write her first CPA exams. Congratulations to both of you and good luck. And with that, operator, I'll open the call.
Operator: Thank you. We will now take analyst questions from the telephone line. [Operator Instructions]. And our first question will come from Nik Priebe with CIBC.
NikPriebe: Okay, thanks. I just wanted to stay on the theme of extreme weather events in Q4. Correct me if I'm wrong, I wouldn't think that California would be a major market for Triad, but I just wanted to ask if originations could be impacted at all by the L.A. wildfires in Q1?
Lance Hull: Yes, this is Lance Hull. California is a significant market area for us, most of it being more -- it's more focused on used homes. And while we do anticipate some impact from the wildfires in the Southern part of the state, we are also very diverse across the entire state. So while -- we've seen some disruption, but it was nothing like what we saw from the storms that hit the South and Southeast in the first.
Nik Priebe: Interesting. Okay. Here -- standing here today, we're about two months into the quarter. Steve, I was just wondering if you could give us a bit of sense of what you're seeing kind of year-to-date in terms of Triad origination volumes and maybe just how that's tracking relative to expectations in the early part of the year here.
Steven Hudson: Yes. Thanks, Nik. The volumes are tracking towards our forecasted expectations. We've still got another month to go. January is obviously a light month. February was on track and March appears to be very strong. So plus or minus $10 million, like that's basically in line with our forecast. And I think about your comment about California, which is a good question, we haven't seen a material impact to the overall origination volumes like we saw. The issue with the weather we had in the fourth quarter is the ground got saturated and you can't set homes when you can't put foundations in which had a dramatic impact, actually more than I thought, but similar to what we announced in 2022, I forget which hurricane that was, but we had $40 million of impact to originations in '22, which reversed over the next two quarters. Nik, I think we're in the same position. And likewise, I've looked at the forecast for RV Marine, and I'm happy with where we're at.
NikPriebe: Okay. Yes, that's all good. And then just my last question. Can you help us understand the variability of origination revenue margin at Triad? Like I recognize it was pretty middle of the road this quarter. It looked like it was generally in line with guidance, but it's oscillated quite a bit period-to-period in both directions. And I know it's influenced to some degree by mix shift, but is there some element of interest rate sensitivity driving that? Or are there any other influences that might help us kind of predict it a little better short term?
James Barry: Yes. Hi Nik, this is James. So you're right that gain on sale margins, they do fluctuate based on product and funding mix, so offtake capacity who we're selling loans through to. There was some compression in Q4 related to the volatility in rates given the extreme move quarter-over-quarter. But overall, the 5.7% in the quarter and the 6.9% on the year were in line with our guidance, and we remain confident with our 2025 outlook of 6.5%.
Nik Priebe: Okay, all right. That's it for me. I will turn it over. Thank you.
Operator: And we'll move to our next question from Tom MacKinnon with BMO Capital Markets.
Tom MacKinnon: Yes, thanks. A question with respect to RV and Marine. The impact of the new flow arrangement, which one of the lines would it have impacted here? Would it hurt revenue? Or would it have been an impact on -- yes.
Steven Hudson: It would have been -- Tom, it would have been on the -- if you flip back to Page -- our system has gone down here, so I'm on paper. But if you go...
James Barry: Slide 20.
Steven Hudson: Yes. Well, Slide 20, yes, just one second, Tom. It goes through the origination revenue. If you look at Q3 '24, Tom, $6.4 million we transferred assets into flow vehicle. In Q4, we didn't transfer we held in our balance sheet. So in Q1 of '25, you'll see origination revenue up significantly as we move that $75 million into the vehicle. That's where...
Tom MacKinnon: Okay. Because the $3.9 million kind of looks to be in and around 2% of the originations. And I think your guide for 2025 is for originations revenue to be around 2% of the originations. So...
Steven Hudson: Well, you got two things in that line, Tom. You've got gain on sale and servicing revenue, the MSR or LSR. I can get back to you, but that is the -- you'll see a Q1 '25 number closer to that $6 million to $7 million number moving in there.
Tom MacKinnon: Okay.
Operator: [Operator Instructions] And our next question will come from Jaeme Gloyn with National Bank.
Jaeme Gloyn: Thanks. Good evening. Just wanted to get a finer touch on the January, February originations in Manufactured Housing. You mentioned it's ahead of plan. What we know is the full year plan would suggest 25% plus growth in originations in '25 versus '24. What we don't quite have a sense of is the quarter-to-quarter movements. When you say it's ahead of plan, would it be ahead of that 25% growth rate in Q1 '25? Or would it be maybe something lower as that kind of growth builds through '25?
Steven Hudson: I think it's -- I'll open it and pass it to James, but it's consistent, Jaeme. When we gave guidance in Q3, we also gave quarterly guidance. So the origination levels consistent with that guidance we gave on earnings per share. But James, do you want to add any color?
James Barry: Yes. I think there's obviously some seasonality in our business that you're familiar with, but we are seeing an acceleration into Q1 and Q2 will be our big quarter for originations.
Jaeme Gloyn: Okay. So I wanted to dig in on a couple of things in the Manufactured Housing results. So the first one is just on the servicing income. It looks like the -- there's a couple of impacts that are affecting the servicing line item in this quarter, fair value of retained servicing asset, timing of bulk portfolio sales and bulk portfolio sales on a servicing release basis. Can you kind of quantify what the impact of that was in Q4? And then I guess the more important question is, like, is this something that flows through into 2025? Or is this purely a 2024 -- like are these three factors purely 2024?
James Barry: Yes. So the servicing yield is primarily based on the mix of the serviced asset and then also kind of the cadence of loan sales during the quarter. So it marginally declined quarter-over-quarter, but we are guiding to about 80 to 90 basis points in '25. So that's what you can expect going forward.
Jaeme Gloyn: Got it. And so these factors could play -- could have an impact in 2025 from quarter-to-quarter. Is that what I'm supposed to understand? It's just it's going to be within that 80 to 90 basis point range for the full year?
James Barry: I think that's correct. Like predominantly all of our production is sold on a servicing retained basis. So that aspect of servicing release sales will not be a recurring theme in '25, but we are guiding to the 80 to 90 basis points of yield going forward.
Jaeme Gloyn: Okay. And the second piece, I just noticed that -- I guess it's good to see this, that there's some unrealized gains on interest rate hedge -- hedging in the quarter that's included in your adjusted operating income. Is that like let's go next one more quarter forward, rates are coming down, like we're going to have losses flow-through here. So like I would think of this as maybe not core earnings and should be something that's adjusted out, but maybe walk me through how you're thinking about the interest rate gains and losses that are going to be flowing through in '25?
Jacqueline Weber: Hi Jaeme, it's Jackie. What I would say there is I think it's fair to include it above the line. The reason I say that is, there would be a corresponding, I'll call it fair value in the originations line. There's a little bit of geography mismatch just because of the accounting rules around it. But in total, it nets out above the line.
Jaeme Gloyn: Okay. So there'll be -- whatever gain we see in one quarter, we'll see an equal loss on the origination fee income line and vice versa if rates are moving in a different direction?
Jacqueline Weber: Correct. They go opposite ways. We're working on getting hedge accounting for some of this, so that will net in the same line. But to the extent that you see a gain or loss unrealized, just know that there is an offset in originations revenue.
Jaeme Gloyn: Okay. Good. That's clear there. Just one more for me. The -- or I guess maybe two more, sorry. Just the first one on securitization, this new securitization facility. Is this an on-balance-sheet facility? Or how is that structured exactly from ECN's perspective?
Steven Hudson: Yes, Jim, it's going to be a nonrecourse. We're going to sell-through all the levels of AA, AA is the top right through to the single B piece. So we will have a derecognition, i.e., gain on sale.
Jaeme Gloyn: Good to hear. And then the last one, I'm not sure I quite caught this, but you mentioned something in the RV and Marine comments about FAS. Sorry, if I'm not catching the acronym or maybe I misheard. Can you just explain what that is?
Lance Hull: So FAS was an acquisition by IFG in the middle of 2024. It's a software platform that pretty much state-of-the-art tech stack. Source One is integrating with that so that we'll be able to process applications more effectively.
Jaeme Gloyn: Understood, all right. Thank you.
Operator: And we'll move next to Stephen Boland with Raymond James.
Stephen Boland: Thanks. Just Steve, you're definitely, how to frame this, very big on guidance. You didn't hit the 2024 guidance, 10% to 16%. I think it came in at 9%. Q4 definitely was light. Is there any way to -- how do we get more confidence that 2025 guidance is definitely achievable. It's a big jump from what 2024 is, and I know you had issues in Q1 and certainly here in Q4. Is 2025, the year that things kind of normalize in terms of margins, excluding weather events? What can you say in terms of giving us some confidence that the numbers are going to be hit? I know it's a general question, Steve.
Steven Hudson: That's okay. It's a good question. I think if you look to -- it's hard to -- whether it was third or second worst hurricane season in history. I think if you look to Q3 at $0.05 a share being normal production for us, that's what gives us confidence the $0.04 and $0.05 of Q2 and Q3 before our world changed it's -- before the world changed in the U.S. There's a map of -- I hate using weather as an excuse, Steve, but the weather was unprecedented. So look to Q2 and Q3 as what this business can do.
Stephen Boland: That was a high-level question. And just when you report to the guidance is 5% to 8% for the quarter, I know you missed $50 million to $70 million in originations. What would you say the delta there even to the bottom of the guidance? Was it the $50 million to $70 million was a point -- compression in the margin was one point or two points. What would you say is the delta there in terms of...
Steven Hudson: The biggest was the loss in originations you got with servicing rights put in, call it, 6.5 to 7 and the same sort of number for the 75 deferral on RV Marine and that gives you 3.5 points. When you -- I know you're trying to do the reconciliation, it brings you up to your $0.05.
Stephen Boland: Okay, that is all from me. Thanks. Thanks very much.
Operator: And we have a follow-up question from Jaeme Gloyn with National Bank.
Jaeme Gloyn: Yes, thanks. I just wanted to make sure I heard that last answer to Steve correctly. So we got $0.02 of EPS. Guide was, let's say, low end was $0.05. So you're saying $0.01 from MH volumes, $0.01 from MH origination fee rates and then $0.01 from RV Marine. And so two of those have been deferred into Q1 '25. The other obviously, fee rates that's kind of done and gone. Did I understand that correctly?
Steven Hudson: Yes. I think, Jaeme, what you heard was that the hurricane impact was $0.015 between gain on sale and MSR loan servicing rights and a similar number for RV Marine, about $0.014 to $0.0.16 So call it, $0.03 between the two which your $0.02 plus $0.03 gets you to the low end of $0.05.
Jaeme Gloyn: Right. And so what we should think about going into Q1 '25 is whatever our base is now, let's say, it's $0.02 to $0.03, if I'm remembering the guidance correctly, correct me if I'm wrong on that. Is that $0.02 to $0.03 should get a $0.015 lift from the RV Marine push into Q1 and then even maybe a little bit more of a lift from the MH volumes that got deferred into Q1 and Q2. So I mean, it looks like we should be towards the high end, if not even above that $0.02 to $0.03 in Q1, all else equal. Am I thinking about this in a fair way?
Steven Hudson: Yes. There's no doubt that we have tailwinds coming into Q1. It's still early in the quarter. We're halfway through the quarter, but we certainly have tailwinds coming into it.
Jaeme Gloyn: Great, thank you.
Operator: And we'll move next to Stephen Boland with Raymond James.
Stephen Boland: Yes. Sorry, just Steve, one more question. When we look at the stock over the past, maybe say one year here, like anywhere from under 2 to over 3, is there any thought in, I don't know trying to attract maybe more institutional buyers by consolidation? I mean you've got a big share count. Is there a thought of doing anything on that side, like a 5:1 or something to that effect that maybe gets the stock price out of that low number that may attract a little bit more institutional interest, if that's a consideration at all in your mind?
Steven Hudson: Yes. Happy to take away as a thought, Steve. I haven't thought about it, but happy to take it away and see if that's something we should pursue. We've had -- as you know, we've had strong institutional support. Love to get on the road and do a little more of a roadshow given that we've now turned around the company, but let us take it away.
Stephen Boland: Okay, thanks Steve.
Operator: As there are no further questions registered, this concludes today's conference call. You may now disconnect your lines. Thank you for participating and have a great day.